Operator: Welcome to Oracle's third quarter fiscal 2015 earnings Call. As reminder, this call is being recorded for replay purposes. I'd now like to turn the call over to Ken Bond, Vice President of Investor Relations.
Kenneth Bond - Vice President-Investor Relations: Thank you, operator, and good afternoon, everyone, and welcome to Oracle's third quarter fiscal year 2015 earnings conference call. A copy of the press release and financial tables, which includes a GAAP to non-GAAP reconciliation and other supplemental financial information, can be viewed and downloaded from our Investor Relations website. On the call today are Executive Chairman and Chief Technology Officer, Larry Ellison; and CEOs, Safra Catz and Mark Hurd. As reminder, today's discussion will include forward-looking statements, including predictions, expectations, estimates or other information that might be considered forward-looking. Throughout today's discussion, we will present some important factors relating to our business which may potentially affect these forward-looking statements. These forward-looking statements are also subject to risks and uncertainties that may cause actual results to differ materially from statements made today. As a result, we caution you against placing undue reliance on these forward-looking statements and we encourage you to review our most recent reports, including our 10-K and 10-Q and any applicable amendments for a complete discussion of these factors and other risks that may affect our future results or the market price of our stock. And finally, we are not obligating ourselves to revise our results or publicly release any revisions of these forward-looking statements in light of new information or future events. Before taking questions, we'll begin with a few prepared remarks. And with that, I'll turn the call over to Safra.
Safra Ada Catz - Chief Executive Officer: Okay. Thanks, Ken. I'm going to focus on our non-GAAP results for Q3. I'll then review guidance for Q4 and then turn the call over to Larry and Mark for their comments. As you can imagine, we are very, very pleased with our results, as software and cloud, cloud SaaS and PaaS, total hardware, total revenue and earnings per share were all above the midpoint of my CD [Constant Dollar] guidance. As you probably remember, I didn't provide U.S. dollar guidance for Q3, given the unusually high volatility in exchange rates. The currency headwind ended up being 6% for software and cloud revenues as well as total revenue, 7% for total hardware revenue, and $0.06 a share – and $0.06 for earnings per share. Currencies continue to move significantly so my comments today generally reflect constant dollar growth rates, which is how we look at the business. Cloud SaaS, and PaaS revenue was $375 million, up 33% from last year. Bookings were again over 100%, adding to the momentum, which is helping drive SaaS, PaaS revenue growth. Now when bookings turn into revenue depends on many factors, but one thing is clear, our momentum in Cloud bodes very, very well for the future. Cloud infrastructure as a service revenue was $155 million, up 32%. Overall, our Cloud results were much, much better than expected as we are clearly growing faster than Salesforce. We're more than three times the size of Workday now. Software and Cloud revenues were $7.2 billion, up 7% from last year. Software updates and product support revenues drove nearly half of total company revenue at $4.7 billion, up 8% from last year. Attach and renewal rates remain at their usual high levels as our growing install base of customers continues to power earnings and cash flow. New software license revenue was $2 billion while we continued to enable our customers with their ongoing transition to Cloud. Looking at GAAP Software and Cloud results by region, the Americas grew 7%, EMEA grew 9% and Asia-Pacific grew 4%. Total hardware including hardware support grew 5% with hardware system product revenue of $712 million and hardware support revenue of $587 million. Engineered Systems saw double-digit revenue growth on the strength of our product portfolio. Obviously, we continue to gain share against IBM and HP, whose high-end server businesses continue their decline. For the company, total revenue for the quarter was $9.3 billion, up 6% from last year. Non-GAAP operating income was $4.2 billion, up 4% from last year, and the operating margin was 46% in constant currency. That we are able to maintain our industry-leading operating margin while growing our Cloud business more than 30% is a testimony to the strength of our business model. The non-GAAP tax rate for the quarter was 22.7%, and EPS was $0.68 in U.S. dollars, growing 9% in constant currency. The GAAP tax rate was 20.8%, and GAAP EPS was $0.56 in U.S. dollars. As I mentioned earlier, but for the currency moves, EPS would have been $0.06 higher. Free cash flow over the last four quarters was $14.5 billion. Capital expenditures continue to be a bit higher as we position cloud orders and build out for the enormous fourth quarter SaaS and PaaS growth we anticipate. Just to put it into perspective, when you compare the same nine months last year to the nine months, the first nine months of the year this year, our capital expenditure is up about $350 million. That's all. We now have over $43 billion in cash and marketable securities. Net of debt, our cash position is approximately $11.5 billion. The short-term deferred revenue balance is $6.4 billion, down slightly due to currency, but in constant dollars, it actually grew 6%. Within short-term deferred revenue is $321 million for SaaS, PaaS and IaaS Cloud services. As we've said before, we are committed to returning value to our shareholders through technical innovation, strategic acquisitions, stock repurchases, prudent use of debt, and a dividend. In terms of acquisitions, we continue to focus on finding the right companies at the right valuation, as both are critically important. This quarter, we repurchased 46.1 million shares for a total of $2 billion. Over the last 12 months, we have repurchased nearly 200 million shares for a total of $8.1 billion and we've paid out dividends of $2.1 billion for a total that is more than 75% of our free cash flow. And the Board of Directors increased the quarterly dividend 25% today from $0.12 to $0.15 per share. Now to the guidance. First of all, given the continued high volatility in exchange rates, we expect currency will affect results, but as we just don't know how much, I'm going to again provide constant currency guidance only. Secondly, our customers are clearly embracing Oracle PaaS faster than we expected, which is actually great for us. Just to give you a little bit of insight on how we look at the business, for every $1 million of license we sell, we expect to collect another $1 million from support over five years for a total of $2 million, while for every $1 million of PaaS we sell, we actually expect to collect $5 million over five years. That's what we're looking at in our business, and though it may have some short-term effect, it's actually already showing up in the revenues. So there we go. SaaS and PaaS on a non-GAAP basis is expected to grow 26% to 30%. On a GAAP basis, SaaS and PaaS revenue is expected to grow 27% to 31%. Cloud IaaS on a GAAP and non-GAAP basis is expected to grow 29% to 33%. Software and Cloud revenue on a GAAP and non-GAAP basis including SaaS, PaaS, IaaS, new software license, and software support is expected to grow 2% to 6%. Hardware systems revenue on a GAAP and non-GAAP basis, which includes hardware system products and hardware system support is expected to be between negative 2% and positive 8%. Total revenue on a GAAP and non-GAAP basis is expected to range from 1% to 6%. Non-GAAP EPS is expected to be somewhere between $0.90 and $0.96 in constant currency. GAAP EPS is expected to be somewhere between $0.76 and $0.82 in constant currency. And again, all of my guidance today is in constant currency and assumes a non-GAAP tax rate of 24% and a GAAP tax rate of 23%. Of course, it may end up being different, but that's what we have got in our model right now. With that, I'll turn it over to Mark for his comments.
Mark V. Hurd - Chief Executive Officer: Thanks, Safra. As usual, I'll try to give you some numbers behind the numbers. I think overall a very solid quarter for Oracle and a great Cloud quarter for Oracle. As Safra did, I'll give you numbers in CD. SaaS, PaaS revenue grew 33%. Bookings ARR grew 130%, double last year, and up double digits sequentially. Fusion bookings ERP, HCM and SFA all grew triple digits. Fusion bookings have grown more than 200% every quarter this year. We added 800 brand-new SaaS customers, nearly 800. Nearly 530 existing customers expanded their cloud services in the quarter; in HCM, 220 new customers; in customer experience, 407 new customers; in ERP, 160 new customers. ERP SaaS install base is multiple the size of Workday. We're adding customers at more than 10x the rate of Workday. Less than 25% of our ERP SaaS wins involve any on premise Oracle ERP customer, meaning that over 75% are net new to Oracle. I would give you a stat on SAP, but we never see them in cloud ERP. PaaS, more than 400 new PaaS customers in the quarter. Bookings up 200% sequentially. Q4 in PaaS is going to be very big. Premise software grew 6%. We expect continued growth. Engineered systems grew 15% in the quarter. We sold more than 1,000 systems, including over 500 Exadata units booked. Given competitor results, we're taking huge market share. Oracle will be the leader in high-end servers this year. And wrapping up, our cloud revenue is already above a $2 billion run rate, our SaaS/PaaS pipeline is already large and growing rapidly, and it's growing faster than what you're seeing in the bookings, that being the pipeline. We now expect Q4 bookings of $300 million, $50 million higher than before. We also expect FY 2015 bookings growth to be greater than 100%. You probably remember when Larry actually gave 50% growth in bookings as guidance at Financial Analyst Meeting, and we're going to double that number. Clearly, the migration to cloud is happening faster than we expected, and to Safra's point, that's great news for Oracle. It's great news for our customers and great news for our investors. And with that, I'm going to turn the call over to Larry.
Lawrence J. Ellison - Executive Chairman & Chief Technology Officer: Thank you, Mark. This quarter Oracle sold cloud ERP systems to 160 new customers. That's more ERP customers than Workday has acquired in all the years they've been in the cloud business. Not one of our 160 cloud ERP deals was competitive with SAP. As Mark said, we just don't see them in the market. By the end of this quarter, Oracle will have sold over 1,000 cloud ERP systems. We are on our way to building the largest ERP business in the cloud. Oracle now has a cloud revenue run rate of well over $2 billion a year. We're already the world's second-largest SaaS and PaaS company. On our last quarterly conference call, I predicted that in our fiscal year 2016 Oracle would likely sell more SaaS and PaaS new business than Salesforce.com. Well, I was way too cautious. Sorry, I'm just checking my notes here. Did I lose the call for second?
Safra Ada Catz - Chief Executive Officer: No. You're here.
Mark V. Hurd - Chief Executive Officer: You're good.
Lawrence J. Ellison - Executive Chairman & Chief Technology Officer: Okay. Let me just back up one second, and I think this is important. On our last quarterly conference call, I predicted that in our fiscal year 2016 Oracle would likely sell more SaaS and PaaS new business than Salesforce.com. I was way too cautious and conservative. Our cloud business is growing a lot faster than even I expected. Our cloud bookings are now growing at over 100% per year, so I'd like to revise my prediction. I now believe that Oracle will sell more new SaaS and PaaS business than Salesforce.com in this current calendar year, 2015. It's going to be close, but I think we're going to sell more in the cloud than they do this year. I suspect that might come as a big surprise to a lot of people out there. You won't have to wait very long to find out who's going to win this. With that, I'll turn it back over to the operator.
Kenneth Bond - Vice President-Investor Relations: Operator, we'll go ahead and begin the Q&A portion of the call now, please.
Operator: Thank you. Your first question will come from Jason Maynard with Wells Fargo.
Jason A. Maynard - Wells Fargo Securities LLC: Hey. Good afternoon, everybody. I actually wanted ask Larry a couple questions about the database business. First off, Larry, I would love if we could get a little bit of insight on 12c adoption. The second thing is I'd like to talk a little bit about some the use cases driving the PaaS growth? And if you can indulge me, maybe the last question is I'd be remiss not to ask for a competitive assessment of S/4HANA from SAP. Thanks.
Lawrence J. Ellison - Executive Chairman & Chief Technology Officer: Okay. Well, let's start with the 12c adoption rates. The most important new feature we probably put in the database and sometimes in terms of customer enthusiasm is our in-memory database feature. And that, along with the multi-tenancy feature, are the two pieces that are really driving 12c adoption to higher rates than anything we've seen in about – for a very, very long time. So I think people are moving very quickly. Again, it takes years for people to move to the next version of the database. People are very cautious but they're moving more quickly than historical precedent to adopt 12c, for two big reasons. One is multi-tenancy and the other is our in-memory database option. So that's going exceptionally well. The use cases that are spurring adoption of Oracle, the Oracle database in the Cloud is the very simple fact you can take any workload, any database that you currently have running in your data center and move your database with the push of a button and move your application with the push of a button and run it in the Oracle Cloud. Nobody else can do that. If you look at the other PaaS vendors, or the second-biggest PaaS vendor, or, well, actually maybe they're the biggest PaaS vendor still. I'm not sure they breakout their number. Salesforce.com PaaS is based on proprietary technology that allows you to send salesforce.com applications. Our PaaS, our cloud platform as a service is based on two products: Java, the world's most popular programming language and an industry-standard, and the Oracle database, the world's most popular relational database and an industry-standard. We have enormous on premise usage, both Java and the Oracle database. And now people don't have to decide where they're going to run things. They can do tests and development in the Oracle Cloud and run production in on-premise. And then they can decide if they need more capacity, they can go from on-premise into the Cloud and back to on-premise. We're the only ones that allow you to move data and workload back and forth between the Cloud and on-premise. That's the primary use case we think that's going to drive Oracle PaaS to be the number one PaaS in the cloud very, very quickly. The third question is – as for HANA in the cloud, well, very simply, and I talked to a lot of people at SAP actually about S/4HANA in the cloud and people who have recently been at SAP. And you've got to understand one thing, this is the same old SAP. This is all written in ABAP. There's 30-year-old code in S/4 business suite. There is nothing new about this. They're simply hosting it on someone else's computer. I also can't find a website where you log on and try it. Everyone else lets you log on – you know, let's you log on, you go to a website if you want to buy our stuff, you want by SaaS, you want to buy PaaS, you go to the website, you get provisioned, and you go. Not so with SAP. This is 30-year-old code renamed S/4HANA. Now they did add a new user interface called Fiori to the old code but that's all they did. They did add another database that they support. They now support in addition to Oracle and Sybase and IBM DB2 and Microsoft SQL Server, they also support HANA. That's it. They've added one new database, they've added a more modern UI, all the old code in the middle is written in ABAP. Ask them. It's written in ABAP. It's 30 years old. We don't see them as a Cloud competitor. We actually almost never talk about them except when we get a question on the call. That's it.
Kenneth Bond - Vice President-Investor Relations: Next question, please?
Operator: All right. And your next question will come from Heather Bellini with Goldman Sachs.
Heather Anne Bellini - Goldman Sachs & Co.: Hi. Great. Thank you for the question. I actually had two of them. I wanted to know if you all could discuss, I think you mentioned it a little bit but go into a little bit more detail about how you're seeing the competitive environment changing versus salesforce.com and Workday, kind of what you've noticed over the last even three to six months. And then, Safra, I might've missed it, I apologize, but could you talk about your support growth in constant currency, please? I think I might have missed the number.
Safra Ada Catz - Chief Executive Officer: Sure. How about, Mark, you do...
Mark V. Hurd - Chief Executive Officer: Sure. I will start on the competitive environment. I would say that the competitive environment with Workday is different in HR than in ERP, EPM. In ERP, EPM our position is extremely strong. I would not call Workday competitive in that market at all. So let's put that aside. In the context of HCM, I think with each subsequent release of HCM, whether it had been release 7, release 8, release 9, and now release 10, we have simply engineered now a better product than Workday. And so I think, from an HCM perspective, head-to-head, they are in the United States, some strong fights. I think as our awareness, the education of our sales force and our references have gotten better, we now win more than half the deals in the United States. Outside the United States, our win rate goes up actually exponentially because of the breadth of our distribution in those markets. So that is sort of how I would characterize Workday. Also, any deal that comes up that's multi-pillar, so in many cases you wind up with an ERP competitive environment that then actually many times can drag in HR, and so we think competitively, Heather, the fact that we have ERP and EPM in the cloud, in SaaS with a strong lead, also benefits our HCM business as well. So out engineering, out distributed in almost all the world, as I've described big lead in ERP, EPM where I would not describe Workday as extremely competitive. Salesforce, I think perhaps different. Salesforce is clearly the incumbent in most accounts, not Oracle. We are, frankly, the guy coming up with a challenger capability, and we now bring a suite of capability with marketing in addition to sales automation. And we do a lot of things that they don't do. We really come to the customer with a different approach. As opposed to trying to help the customer basically report what the sales force is bidding on, we actually come to market trying to help the sales force, being our customers' sales forces, sell more stuff all the way from automating a marketing campaign to the actual process by which they communicate to the customer, get information about the customer, and actually go through a whole engineering selling process with the customer. And this is proven, you've heard it with our numbers. Our sales automation solutions in the quarter were superb. Marketing had a fantastic quarter. We are the leader in marketing. We are challenging very aggressively in sales automation, and we expect to give them a run for their money in every sales automation deal in the planet, but our differentiation, Heather, comes from bringing a suite of capability to help the sales – or our customers' sales organizations sell.
Safra Ada Catz - Chief Executive Officer: Okay. And Heather, as far sequential growth in support, in constant currency it's up sequentially between 1% and 2%. The only change you see in the tables is as a result of currency. So sequentially up in software license updates and product support.
Heather Anne Bellini - Goldman Sachs & Co.: Great. Thanks. Thank you very much.
Kenneth Bond - Vice President-Investor Relations: Next question, please?
Operator: Our next question will come from the line of Brad Reback with Stifel Nicolaus.
Brad R. Reback - Stifel, Nicolaus & Co., Inc.: Oh, hi. Thanks. Sorry about that. Just one quick question, Safra. Can you give us a sense of what the FX impact was on cash flow in the quarter?
Safra Ada Catz - Chief Executive Officer: So about – it was – well, about half of the decline in cash flow, a little bit more, I think, was actually entirely currency. And a little of it, frankly, was tax payments that under circumstances in some jurisdictions where you pay and then you discuss it. And then a little of it actually ended up being an inventory buildup that we're doing right now, about $100 million of inventory buildup in preparation for all of the engineered systems that go out in Q4. So we do the buildup of the pieces in Q3. So I would say, I know you asked about currency but currency is about half of it.
Brad R. Reback - Stifel, Nicolaus & Co., Inc.: Great. Thanks very much.
Operator: And our next question will come from Kash Rangan with Bank of America Merrill Lynch.
Kasthuri Gopalan Rangan - Merrill Lynch, Pierce, Fenner & Smith, Inc.: Hi. Thank you very much. Mark, could you talk about the Engineered Systems business? Certainly growth of 15% is outpacing the market, but how is the split of business between the quarter rack, half rack, full rack, or if you want to look at it based on the products, Exadata, Exalogic, Exalytics, how is that shaping up? Where do you think the mix shift in this business is going to look like in the next 12 months or so? What I'm really trying to get an angle on is can the business get better as a result of greater 12c adoption as well? Thank you.
Mark V. Hurd - Chief Executive Officer: Yeah, so let me – there were a lot of questions tied up there, so let me try to hit as many as I can. First, I think to your point, when you look at our competitor results in high-end servers, we're gaining a ton of share. So just to make sure – you said growing a bit faster. All of our competitors really in this space are highly negative. And as we've talked about growth was 15% in the quarter, it is spread between, I would say, a solid Exadata quarter all the way around. We grew in Exadata, and this is going against, I know you know this, Kash, fairly tough comparisons with the success of Exadata last year. But we had very strong performance on some of our new engineered systems. So it was pretty well-dispersed. We had strong growth in SuperCluster in the quarter. We had strong growth in our Oracle Database Appliance. We had good growth in our Big Data Appliance, which is our Hadoop Oracle appliance that we brought to market. Our Zero Data, one of my favorite named products that we have in the company, the Zero Data Loss Recovery Appliance, contributed growth in the quarter. So the suite of products that we've brought to market in Engineered Systems as a group had a really strong quarter and while some of the numbers are small coming off of a baseline, they all contributed and they are all growing and in aggregate, we grew 15%. So I think our pipelines are up overall, and so we feel great about the quarter Engineered Systems delivered and great about our pipeline.
Kasthuri Gopalan Rangan - Merrill Lynch, Pierce, Fenner & Smith, Inc.: And the hardware refresh as it relates to 12c mainstream adoption, could you get a benefit there?
Mark V. Hurd - Chief Executive Officer: Yeah, I mean, I think, listen, we've seen a strong uptake of – well I shouldn't say that. Let me say it another way. The beginnings of the uptake of 12c, I believe that also helps, and it also helps in the context of what we see as 12c and the emergence of private clouds that exist within our customers where you see many of these architectural moves to these engineered systems as well.
Kasthuri Gopalan Rangan - Merrill Lynch, Pierce, Fenner & Smith, Inc.: Wonderful. Thank you very much.
Operator: Our next question will come from the line of Rick Sherlund with Nomura.
Richard Sherlund - Nomura Securities International, Inc.: Thanks. So, Larry, two questions. First, as we talk to companies that are native to the SaaS market, they indicate that they'll continue to win business because they have an inherent advantage being natively built for the cloud with ease of implementation and ease of use. And I wondered if you could comment on how you think you stack up now and future releases of Fusion, if there's more to be done on that front? And then secondly, you talked about in-memory in...
Lawrence J. Ellison - Executive Chairman & Chief Technology Officer: Can I interrupt you, right, on that one? Was the question, some people are – SaaS – people are saying SAP was natively built for the cloud?
Richard Sherlund - Nomura Securities International, Inc.: No, no. These are the native SaaS companies I'm talking about.
Lawrence J. Ellison - Executive Chairman & Chief Technology Officer: Oh, the native SaaS companies. Okay. I misunderstood. Okay. Got it.
Richard Sherlund - Nomura Securities International, Inc.: Okay. Yeah.
Lawrence J. Ellison - Executive Chairman & Chief Technology Officer: Okay. Well, let me just answer the first part of your question now. We made a big announcement almost 10 years ago that we were rebuilding all of our applications for the cloud. Now, it wasn't called the cloud 10 years ago, it was called SaaS. But we said that we were rebuilding everything on this thing called Fusion, and networks, were going to rebuild our middleware for the cloud, build our applications on top of our cloud middleware, and change our database for the cloud, make it multi-tenant, make it in-memory, do all of those things. We started a project 10 years ago to rewrite everything. When – Fusion ERP, every single line of code is brand-new. Fusion HCM, every single line of code is brand-new. I can go on and on, but all of these we – they are completely rewritten for the cloud, as is our database, and our database was not completely rewritten, we added specific features to the database to make it work properly in the cloud, the most prominent of which is the multi-tenancy feature. We think we put multi-tenancy at the right level of the stack in the database rather than multi-tenancy in the application which creates real security problems which I'm not going to go into. But we think we have a huge advantage over someone like Workday that doesn't have a database. Workday kind of build their own little database. And that's what you're buying into when you buy Workday. We built our own little database. It's called Oracle. Workday has its own programming technology. We haven't, we used this programming technology called Java. So – and we built everything, everything from scratch, every, I am telling you, every single line of code in Fusion HCM is new for the cloud every single line of code where Fusion ERP is new for the cloud. And those new cloud applications are based on by far the strongest platform. Workday doesn't even have a platform that they sell. They have no platform. They have the platform that they kind of use internally. Salesforce has a platform that we also think is not competitive with our platform. So you have to be very specific as what advantages, what advantages these small companies think they have over us in the Cloud when we have, I think, very clearly, the strongest platform based on industry standards and years and years of experience. We've adapted that for the Cloud. I'll give you an example of how strong our Cloud platform is. Salesforce.com uses our Cloud platform. NetSuite uses our Cloud platform. In fact, every single cloud company of size, the top 10, nine of them use our database in the Cloud. Workday is the only one that doesn't. But tell me again the advantages they think they have?
Richard Sherlund - Nomura Securities International, Inc.: Ease of implementation and ease-of-use.
Lawrence J. Ellison - Executive Chairman & Chief Technology Officer: I don't – ease of implement is easy to say, but we're getting our ERP customers – can you tell me, ease of implementation of what? And we think our Cloud ERP is very, is the best-of-breed in Cloud ERP. We think our Cloud HCM is now the best-of-breed in cloud HCM in the areas of user interface, which is usually what the people mean by ease-of-use. Better adaptive technology, which makes the implementation very, very rapid, a very rapid implementation, very low cost implementations we think are competitive with anyone out there. In fact, one of the reasons why our consulting business keeps getting smaller is because our applications implementations take so much less time and effort.
Richard Sherlund - Nomura Securities International, Inc.: Okay. Larry, the second question was with in-memory capabilities, do you think it's possible that we see a lot more innovation in terms of the type of business processes that we can automate with this next generation of apps in the Cloud?
Lawrence J. Ellison - Executive Chairman & Chief Technology Officer: Well, I think a lot of things that used to take a long time will take less time. So manufacturers will run MRP much faster than they used to. People that used to get reports overnight will get those reports instantaneously so they'll have access to more information. I think there are some very interesting applications in terms of security for immediate detection of intrusion, being able to analyze the data so quickly we actually can do a better job in security, that's one of the big things that we've been working on for some time. I think there are a lot of existing applications that you used to wait overnight for. You'll get that data instantaneously, and then there'll be a host of new applications. But how revolutionary that will be, I think this is going to happen, people will discover these new applications over a fairly long period of time. So as excited as we are about in-memory databases and we have by far the fastest in-memory database in the world. But again, the first benefit is to make the existing apps run much faster. The second benefit, – and that will happen right away. The second benefit will trickle in over the years as smart people discover new ways to build applications they never thought, that just weren't possible before the in-memory database.
Richard Sherlund - Nomura Securities International, Inc.: Thank you.
Kenneth Bond - Vice President-Investor Relations: Next question, please?
Operator: Our next question will come from the line of Kirk Materne with Evercore ISI.
S. Kirk Materne - Evercore Partners, Inc. (Broker): Great. Thanks very much. Mark, just two quick questions. First, I wanted to follow up on your earlier comments regarding the customer experience pillar. Specifically, can you talk about your position today versus 12 months ago in terms of your visibility with actually with the Chief Marketing Officers? Obviously you guys have extremely strong relationships with CIOs, but I'm wondering how your relationships on the marketing side and with the CMOs has changed over the last 12 months. And then secondarily, can you talk about just your industry solution trends and how they're doing and how important having some of that domain expertise is in terms of differentiating you all versus some of your competitors that don't have sort of that deep expertise in certain verticals? Thanks.
Mark V. Hurd - Chief Executive Officer: Sure. And marketing we've obviously made a significant investment between the acquisitions of Responsys and Eloqua respectively were the leader in B2C marketing and B2B marketing. We've added BlueKai. We've added Compendium. We just added a really nice company in Datalogix, and BlueKai and Datalogix with their data capabilities now differentiate us, just not on the marketing automation process and what you do with CMOs in automating that process, but also in the underpinning data sets that CMOs get access to. So we have become the biggest and the most popular in SaaS marketing, and that, frankly, to your point, Kirk, has caused us to now, as we've done with our sales forces, pointed our IE (38:32) sales force directly at a buyer. And that buyer is the CMO. Very similar to what we do in HR where we call in the head of HR, in marketing we call on the head of marketing. And I think the best testimony to our success in our relationships are our numbers. Our growth in marketing in the quarter was over 200%, and when you look at our competitors, whether those be Adobe, the acquisition that Salesforce.com made, you just see that we are simply growing faster and we're taking market share in marketing SaaS. So that's what I would describe in marketing. You had another question. Would you refresh me on what that was?
S. Kirk Materne - Evercore Partners, Inc. (Broker): Oh, sure. Just your industry solutions, just how they are doing and how important that is in terms of differentiating yourselves versus competitors. Thanks.
Mark V. Hurd - Chief Executive Officer: Yeah, and they had a – frankly, we've got so much going on in the company, we probably ought to talk about them more. They had a very good quarter in Q3, as they've had over the past several quarters. Obviously, our position in retail was extremely strategic to our customers, and we've now added MICROS, which brought with it a great depth in hospitality and food and beverage. So our retail suite of expertise is not just in general merchandising but across food and beverage and hospitality as well. We had a very strong quarter in banking, and our expertise now in banking, we've grown our sales force, our ability now to help banks in compliance and anti-money laundering, many of the issues that our banking customers are facing today has become a tremendous asset for us. We've had a good quarter, and we continue to have good success in communications. And without going through each one of them, they do give us strong differentiation because when we sell in these industries, we're talking to business buyers. We're talking to retailers, we're talking CEOs, we're talking to head of merchandising, and I think next week Larry and I will be at our conference, our Industry Connect conference, and we'll have roughly 2,000 of our customers there, and they will be business buyers. They will not be what you would think of as typically CIOs. They will be people on the business side and it gives us a reach into our customers that frankly we wouldn't have without the investment we've made in our GBUs.
Kenneth Bond - Vice President-Investor Relations: Next question, please?
Operator: And our final question today will come from the line of Ross MacMillan with RBC Capital Markets. Ross, your line is open.
Ross MacMillan - RBC Capital Markets LLC: Can you hear me now?
Operator: Yes. Go ahead, sir.
Ross MacMillan - RBC Capital Markets LLC: Thank you. Mark, I had two quick questions. We've seen two quarters in a row of hardware growth in constant currency and you mentioned double-digit growth in Engineered Systems, but I'm curious on the core M and T server lines and storage and what's happening there and your visibility into the entire hardware bucket growth being sustainable going forward. And then I'd love also your thoughts on large-company appetite to move core ERP to the cloud, especially as we think outside of North America in the international sphere. Thanks.
Mark V. Hurd - Chief Executive Officer: Thank you. To your point, Engineered Systems, I already went through it. It is now (42:00) a significant part of our hardware portfolio and grew 15%. M, while down, is a smaller piece of our hardware portfolio, being the M-Series of SPARC. T was down in the quarter, again, all offset by the growth we've seen in engineered systems. Storage grew in the quarter. We had significant, very strong growth in ZFS, if you will, our network attached storage product. That is not a new story, our ZFS growth, and I predict that will continue as we go forward. We have just released a new SAN product, FS1, that came to us through the Pillar acquisition that our engineering team has done a super job for us, and that represents, really, a whole new storage market for us now to go compete head up against EMC. So I believe going forward you will see a continuation of storage growth, the continuation of ZFS along with now FS1, a continued growth in Engineered Systems and we'll continue to push refreshing our SPARC base as we have since we've got – as we go forward. As it relates ERP, and you asked specifically about international markets, I mean, just for example in the quarter, just to give you some flavor for this, we closed ERP SaaS deals at FEMSA in Mexico at Saudi Telecom, at BAE Systems, at Hawaiian Airlines, at KPMG. I mean, these are all certainly very strong brands that are going ERP and ERP in Cloud, at least 75% of what I just named are outside the United States. So we've had very strong – back to just sort of the Cloud context which probably is at the core of question, I think I said a couple of quarters ago, we're just going to get better and better at this. And while the numbers are faster than I predicted and I wish I could've predicted them better two or three quarters ago, our sales force has simply just gotten more productive. They're better educated, with better products, and they now have references in virtually every single discipline and pillar that we sell in almost every country that we sell. And so what's happening is, it's very interesting, we're getting bigger and we're growing faster as we're getting bigger. And it's because of the multitude of these issues that I'm describing that have all now tilted our way after, frankly, 2, 2.5 years of hard work of getting our customers, similar to the last question, who now know their functional buyer. They know the head – the Chief Marketing Officer. They know the Chief Human Resource Officer. Our products have now gotten extremely mature and we've got references, and I think now that we add PaaS to our cloud offerings and I probably should've said this earlier, but I've been doing this a long time, and I've really never seen a pipeline grow as fast as our PaaS pipeline has grown. We've really released this at Oracle OpenWorld in October, and the speed of our pipeline growth, you see it just in the conversion to bookings. I actually, Safra and I get to see it in the benefit of the pipeline and it is just exciting times for Oracle. Back to Ken.
Kenneth Bond - Vice President-Investor Relations: Thanks, Mark. A telephonic replay of this conference call will be available for 24 hours. Dial-in information can be found in the press release issued earlier today. Please call the Investor Relations department with any follow-up questions from this call and we look forward to speaking with you. Thank you for joining us today. With that, I'll turn the call back to the operator for closing.
Operator: Thank you. This concludes today's conference call. You may now disconnect. Thank you for your participation.